Operator: Good day and welcome to the Orion Marine Group, first quarter 2009 earnings conference call. Today’s conference is being recorded. At this time I would like to turn the conference over to Chris DeAlmeida. Please go ahead.
Chris DeAlmeida: Good morning and welcome to the Orion Marine Group first quarter 2009 earnings conference call. Joining me today are Mike Pearson, Orion Marine Group’s President and Chief Executive Officer; Mark Stauffer, our Executive Vice President and Chief Financial Officer; and Cabell Acree, our Vice President and General Counsel. Regarding the format of the call, we have allocated about 15 minutes for prepared remarks in which Mike and Mark will highlight our results for the quarter and outlook for 2009, and then we will open up the call for questions. During the course of this conference call, we will make projections and other forward-looking statements among other things, are end markets, revenues, gross profits, gross margin, EBITDA, EBITDA margin, backlog, projects and negotiation of pending awards as well as our estimates and assumptions regarding our future growth, EBITDA, EBITDA margins, gross margins, administrative expenses and capital expenditures. These statements are predictions that are subject to risks and uncertainties, including those describes in our 10-K for 2008, that may cause actual results to differ materially. Moreover, past performance is not necessarily an indicator of future results. By providing this information, we undertake no obligation to update or revise any projections or forward-looking statements, whether results of new developments or otherwise. Also, please note that EBITDA and EBITDA margin are non-GAAP financial measures under rules of the Securities Exchange Commission, including Regulation G. Please refer to the reconciliation accompanying this earnings call available on our website at www.orionmarinegroup.com for comments on the use of non-GAAP financial measures, as well as applicable reconciliations to the most comparable GAAP measures. Also, please refer to our earnings release issued this morning, May 7, 2009 and our quarterly and annual filings with the SEC, which are available on our website for additional discussions of risk factors that could cause actual results to differ materially from our current expectations. Before I turn the call over to Mike, I’d like to take the opportunity to extend a personal invitation to our annual shareholders meeting, which will be held next Thursday May 14, 2009, at 11:00 am Eastern in New York, at the Hilton New York 1335 Avenue. With that, I will turn the call over to Mike. Mike.
Mike Pearson: Thank you, Chris. Good morning and thanks for joining us. We once again delivered solid results for this quarter, with revenue and EBITDA margin that exceeded our first quarter goal. Revenues for the first quarter of 2009 increased $17.5 million or 33%, as compared to the first quarter of 2008, which exceeds our first quarter revenue growth goal or 28% to 32%. First quarter EBITDA was $12.1 million, which resulted in an EBITDA margin of 17.2%, which also exceed our first quarter goal range of 14% to 16%. We have a very health quarter as we continue to good demand for our turnkey services, with increased activity on the federal side and continued good bid opportunities for the future. More specifically we continue to see good demand as foreign expansion plans continue, the cruise industry continue to look at adding new destinations, bridge construction remained a focal point and we saw increased bid activity from the Army Corps of Engineers. Now turning to our end markets, an outlook for the remainder of the year, as stated before continued port expansion, the need for U.S. infrastructure improvements and coastal and wetland restoration projects, and also the expansion in the cruise industry should continue to provide us with good bid opportunities. As a reminder, we remain in uncertain economic times and therefore we must continue to be vigilant about the state of our end markets. As we previously stated, it is not unreasonable to think that some of our end markets could see some deterioration or bidding delays as a result of the uncertainty in the economy. However, the other end markets may outperform due to increased spending on infrastructure projects, as well as hurricane protection and restoration projects. Now, while we’ve not seen any significant pullbacks or delays to-date, we will remain vigilant as the economy continues to be under pressured, and some of our end markets maybe impacted. However, we still believe the impacts of the economic downturn maybe mitigated by the need to rehabilitate America’s crumbling infrastructure and to provide needed improvements for the future. Now just to highlight some of the major growth drivers that we continue to see for 2009, we believe the Gulf Coast and Southeast Atlantic ports will continue with the expansion plans, despite some decrease in global shipping traffic. We believe funding for these projects has and will remain intact for most of the planned port expansion. Additionally, the stimulus package provides additional funds for ports in our market areas. For example, recently the ports of Huston and the port of Galveston recently announced $140 million in collected stimulus monies to construct, operate and maintain area channels. Additionally bridge rehabilitation and replacement continues to be a focal point. We continue to see additional bridge opportunities and believe these projects will be a priority of states, with their funding coming at them, in part for the annual spending of the current safety loop program and through the stimulus package. Now, with regard to the Army Corps of Engineers, we believe we are going to continue to see increased opportunities. The Corps is well positioned with significant funding levels as a result of the normal budget funds, additional supplemental emergency hurricane related funding and additional funding from the stimulus package. As you know, the Corps recently released their project list, associated with the American Recovery and Reimbursement Act or commonly referred to as the stimulus package. Now we are still examining the Corps RRA project list and we believe there’s substantial bid opportunities as a result of the project list, that are not included in bid market opportunities that we’re currently tracking. With regard to timing, the Corps is required to commit all the funds prior to September 30, 2010. However the Corps has indicated that their intent is to obligate the majority of these projects before year end. As we said before, we believe while that stimulus could have a positive impact on our backlog and potentially offer revenue opportunities during 2009, we believe the bulk of revenue impact will actual be in 2010 and 2011. Finally, I want to touch on the cruise industry. As you know, the remaining several large ships under construction were being delivered, that are expected to come online over the next couple of years. The current marine facilities that will dock some of these ships are inadequate and require substantial upgrades. We believe we will continue to see either moving upgrades to existing facilities or maybe cruise ship peer construction opportunities as a result. So to sum it up, we continue to see strength and most of our end markets and good prospects both near term and long term, and we remain cautiously optimistic about our year. As we look ahead, we see good opportunities for growth and opportunities to continue our expansion plans. Still we want to grow the business profitably, so we are going to be prudent in our bidding and acquisition and vigilant in monitoring the economic developments which are difficult to predict with regard to any positive or negative impacts in our business. With that I’ll turn the call over to Mark Stauffer, our CFO, to discuss the financial results in more detail. Mark.
Mark Stauffer: Thanks Mike and again thanks for joining us. Net income for the first quarter of 2009 was $4.3 million or $0.20 per diluted share, which compares with $2.8 million or $0.13 per diluted share in the prior year period. First quarter 2009 contract revenues increased 33% year-over-year to $70 million, of which 48% was generated from federal, state and local government agencies and 52% from private industry. This compares to 58% from federal, state and local government agencies and 42% from private industry in the first quarter of 2008. I would like to remind investors, there can be fluctuations in quarter-to-quarter results due to the timing and mix of projects. For this reason we suggest investors to focus on the long term and annual results, rather than quarter-to-quarter fluctuations. SG&A expenses for the first quarter of 2009 were $7.2 million, which represents an increase of $1.4 million year-over-year, primarily due to the amortization and overhead costs related to the acquisition in February of 2008. Looking at backlog, we ended the quarter with $134.1 million of backlog as on March 31, 2009. Again, I want to remind investors that backlog can fluctuate from period-to-period, due to timing and executions of contracts. Additionally, we have several projects that we apparently are better on or that are in negotiation, that are not reflected in the backlog as now, at the end of the quarter. Our backlog consist on projects under contract that have either not start or in progress and not yet complete and we cannot guarantee that revenue projected in our backlog will be realized or if realized will result in earnings. In addition to our current backlog, we are attracting potential bid opportunities of $4 billion to $4.5 billion, of which approximately $1.2 billion could liquidate in 2009. This does not include the Corps of Engineers bid opportunities related to the stimulus package, which Mike mentioned earlier. Given the current backlog, contracts we’ve recently signed and the revenue opportunities we see for 2009, we expect second quarter 2009 revenue will grow 8% to 12% year-over-year. Additionally, we had set our second quarter EBITDA margin goal at 15% to 17%. For the full year 2009 we remain comfortable with our previously stated full year 2009 year-over-year revenue growth goal of 12% to 16% and our full year 2009 EBITDA margin goal of 14% to 18%. Turing to the balance sheet, we believe it is an important to have a strong, stable balance sheet, with good free cash flow generation, lower leverage and a solid cash position. For the quarter, net cash flow from operating activates was $18.9 million, which is an increase of $10.1million as compared to the first quarter of 2008. We believe a good positive cash flow from operations is one of the foundations in our company that is viewed favorably by our bonding company and is a safeguard during economically volatile times like these. At this time, we do not anticipate the need to utilize our revolving line of credit. Additionally, we once again ended the quarter with a solid cash position. As of March 31, 2009 we had cash on hand and availability under our revolving line of credit of approximately $49.2 million. In addition, we had another $15 million of liquidity available to the company at the discretion of our lenders. Finally, our debt position remains low. As of the end of the quarter our leverage was less than one times EBITDA, which we believe is very conservative and is well below our comfort level of 2.5 to 3 times EBITDA. In closing we once again delivered good results, while maintaining our solid financial position during the quarter. Our strong balance sheet should help us in the current economic environment. While we will monitor our markets during in these volatile times, we continue to see good bid opportunities and continue to execute new contracts. Additionally, we remain comfortable with our full year outlook, given our current backlog level and revenue opportunities for the year. With that, I’ll turn the call back to Chris to begin the Q-and-A portion of the call.
Chris DeAlmeida: Thank you, Mark and Mike. We would now like to open up the call for questions. Christina, would you please review the procedures for placing questions?
Operator: (Operator Instructions) We’ll take our first question from Fred Buonocore with CJS Securities.
Fred Buonocore - CJS Securities: Yes, good morning, very nice quarter.
Mike Pearson: Good morning.
Mark Stauffer: Thanks, good morning.
Fred Buonocore - CJS Securities: Just on the backlog, you are realizing that it can be lumpy. Can you give a little more color; was there a large project or two that was completed in the quarter and then one out of backlog or did you see any sort of slowdown in new orders that you could attribute to anything specific or this is kind of just the normal lumpiness. Then you mentioned that there are projects that you’re apparently a low bidder, that haven’t gotten in there as yet around that. Having gone in the area, are those Corps related dredging projects or a mix. If you can give a little more color on that, that will be great?
Mark Stauffer : It would be a mix, but as we said our backlog can fluctuate from period-to-period, just due to time and the execution of the contracts and we’ve got a number of contracts out there that we don’t announce contracts until we get the actual contracts signs. So, there is sometime a timing issue in that regard, but we’re comfortable with our goals.
Fred Buonocore - CJS Securities: Do you think that your backlog can get back up to the levels where it would have been in the Q4 and Q3 ’08 timeframe?
Chris DeAlmeida: Well again, I think Fred it’s all a matter of timing of the execution of contracts and as we’ve said in the prepared remarks, we are apparently a little better and have things under negotiation. As Mike said, we don’t announce the contracts under $10 million. So, I think that we’re comfortable with the backlog and with the opportunities we see for a better opportunities and revenue opportunities for the reminder of the year and we think this is sort of the normal lumpiness of backlog. It is primarily attributable just to the timing and execution of contracts.
Fred Buonocore - CJS Securities: That’s great and then just understanding the core project, I did look at that list as it relates to the stimulus packaging, do you have a sense for when trying to parse out core dredging project, some that would be part of the $740 million in emergency funding for the hurricanes from the last year and other regular O&M budget funding and then stimulus funding. Are the projects on that list kind of separate from those other buckets or do we find projects from those other buckets showing up on that list? I’m just trying to get a sense for how much was incremental…?
Mike Pearson: Yes, there is got to be some projects from all three sources there; base, stimulus and supplemental, but it’s kind of hard to tell at this point. We’re just impressed with this size of the list of projects that is come out and the extent of work that is going to be funded in the next couple of years, just with this first stimulus injection of $4.6 billion. We participate in the O&M side, which is about half that money and that’s on top of the based several works budget that’s $5 billion. So, it’s essentially like a 50% increase of what you would normally see coming out of the core. So, it’s going to take us sometime go through this project list. The core is going to have a national meeting on the bridging side; I think 20 May and we’ll get a better clarity on how they’re going to pass release these projects out. So it will take us some time to come through that, but it’s very difficult to say how much is actually stimulus? How much is actually awarded; it’s a little bit of everything.
Mark Stauffer: Another thing I would add to that is, the stimulus is not in the tracking number that we talked about this morning. With respect to the comments that you made about the supplemental funding related to the hurricane activity, as we said on the previous call that’s a little muddier. That probably has started filtering into the projects we track, it’s a little difficult, because I don’t think those projects are necessarily tagged, whether they would have been ordinarily done under the base budget or not. So, I think that’s a little bit muddier, but the stimulus project list, that is not in the current tracking system and we expect that to change as we move through the next several months as Mike talked about.
Mike Pearson: There is nearly 12,000 projects list, it’s just a huge list and we’re just happy with that we see areas that we can participate, both in construction and dredging and we’re glad to see the Coast Guard get some money. There is some profits right here in our own backyard, in Houston for example and Galveston, the Coast Guard are going to get funded to take care of some navigation hazardous, bridge with that need to be widen and railroad crossing. That’s been a real navigation hazard for the shipping industry for year. They are probably going to take care of some of these issues, so all of that just bodes well for our industry.
Fred BuonoCorps - CJS Securities: That’s great. Thank you very much.
Operator: We’ll take our next question from Trey Grooms with Stephens.
Will Green - Stephens : Good morning. This is Will Green for Trey.
Mike Pearson: Good morning.
Will Green - Stephens : I also had a question on the stimulus. In terms of the Corps of Engineers projects that did it listed, I don’t know if you mentioned already, but do you have a sense for how much of that work is going to be in the Gulf and other areas where you operate in?
Mark Stauffer: Well, I think we are going through the list as Mike said right now. There’s a substantial amount in our market areas that we are participating in now. So, we view it as a very positive thing, and I think as we go through the next several months we expect to see that firm up in our bid tracking system as Mike said. The Corps intention that they’ve announced is they would like to get the bulk of these projects committed before year end.
Will Green - Stephens : Okay, great and then you obviously mentioned that bidding activity for the Corps is picking up. Could you talk about, maybe the competition you’re seeing at the bid table right and how it’s compared to maybe last year or just over the last several months. How it’s differed?
Mark Stauffer: Yes, it’s been kind of spotty. I think on the lower end contracts, the smaller contorts; there’s certainly been some pressure on margins there. With the anxiety about the about the economy that hasn’t been the case in some of the bigger projects that we’ve looked at where there is less competition. I think now that the highway funding is getting ticked off, that stimulus program that’s a pretty big safety link program that’s kicking in, I think they got there stimulus bill $27.5 billion and about third of that is within the states that we operating in, the eight state regions that we covers. So, I think that may help to abate some of the pressure we’ve seen with people that aren’t necessarily fulltime marine contractors trying to just find work. So, that appears to be starting to kick now as the year progress, it relives some of the pressure, but it’s certainly a lot of anxiety right now with construction companies.
Mike Pearson: With respect to the dredging, specifically in the Corps I think that as we talk about before, the fact that the Corps has adequate funding from all these various sources. We think it’s a positive impact and its good for the industry and we think that will take some of the uncertainty out of the equation with respect to competitors. I think we sort of seeing some of that occur as we moved into 2009 as result of the adequate funding that Corps as.
Will Green - Stephens : Right, it makes sense and I had one other question. You guys are obviously, building a good amount of cash. I just wondered kind of what the priorities would be for that and kind of what’s you’re seen on the M&A front? Is there anyway that you can talk about pipeline or evaluations you’re seeing out there?
Mike Pearson: Well, I think with the current economy that we are faced with right now, having a strong balance sheet is essential and just in the event there is any further setback with the economy; we want to be in a strong position and be poised to take advantage of that situation as the year progresses. That’s kind of where we are at right now.
Will Green - Stephens : Alright, thanks guys. Great quarter.
Mike Pearson: Thanks.
Operator: We’ll go next to Alex Rygiel with FBR Capital Market.
Alex Rygiel - FBR Capital Market: Good morning Mike and Mark, nice quarter.
Mike Pearson: Alex, thanks
Alex Rygiel - FBR Capital Market: Two questions; first, over the past two months since your last call, do you think your visibility has changed at all from 2009 and/or 2010 for the good or the bad?
Mike Pearson: Well, there’s certainly a lot more opportunities out there than we expected and I’m pretty upbeat about the outlook. Last year when we were talking the stimulus, when the election was going on, we didn’t really believe that it would have that much of an impact to this year, just because of that the time it takes to profit us that volume of work. I feel like that is the case that we are going to see serge towards the end year. Certainly, the back half of this year would be impacted, but we just see more long term opportunity that we’ve had in the past and near term we got a get the program up and running. When you look at the Corps package, the first half of the year is going to be pretty well down before they really start parceling this out. So, I think we were prudent in being cautious in our expectations, but it all stacks up pretty good.
Mark Stauffer: Alex, I want to comment there is that the volume of projects we’re tracking in our tracking system is definitely up as we moved into 2009, it’s up since the end of the Q4.
Alex Rygiel – FBR capital Market: That’s not because you just get smarter at what you’re tracking, right?
Mark Stauffer: We think we’re smart about what we track all the time, but I think it’s because of variety of things that we talk about with respect to Corps funding, excluding stimulus, but Corps funding and other projects we are tracking, but the opportunities are definitely up since last call.
Alex Rygiel – FBR capital Market: I feel like I’m softly hearing that we could maybe see a mix shift towards more dredging over the next six to 12 months. Do you think that will play out?
Mike Pearson: I think it’s going to be a lot of dredging work come out, I think we get an opportunity to improve our utilization on our grace and fleet at the Corps continues to go with the pace they have. We’ve had a good bidding activity in the first quarter of this year and looks like that’s continuing on in the second quarter and if you remember a year ago, we weren’t doing much work in second quarter and the Cops, basically shutdown for a while, well that problem’s been soft. We are very busy and yes I do think our bridge fleet should benefit from this.
Mark Stauffer: I think we’ve talked about before, we look at all of our opportunities that are in front of us at anyone time and to decide which projects we are going to take a priority for us to go after, but it would be fair to think that our volume as federal work is going to increase as we move through the year.
Mike Pearson: Yes, just one of the thing that the Corps indicated to us is that of the operating and maintenance activities that they are going to carryout this year, about 60% of their projects are going to be associated with which could have hit pipeline dredges which we have in our fleet and only 25% could be Harper Dredge and 15% is going to be mechanical dredge, so analyzing just the dredging component that should be very good for us.
Alex Rygiel – FBR capital Market: That’s great and lastly you’re starting to build some net cash on the balance. At what point in time do you think we should expect some deployment of that cash either for asset purchases or acquisitions?
Mark Stauffer: Well, we definitely got our CapEx program in place for the year. We have previously announced the $16 million to $18 million CapEx for the year. I think we talk about that before, we also communicated that we would adjust our thinking on that as we progressed in the year and saw what opportunities were in front of us, but I think definitely we continue to look at opportunities, both for expansion in our geographic areas, either be just asset acquisition or we want to remain optimistic on the acquisition front as well.
Alex Rygiel – FBR capital Market: Great. Thank you very much.
Mark Stauffer: You bet.
Operator: We’ll go next to Jack Kasprzak with BB&T Capital Markets.
Jack Kasprzak - BB&T Capital Markets: Thanks. Good morning everyone.
Mark Stauffer: Good morning.
Jack Kasprzak - BB&T Capital Markets: Can you give us some guidance on, SG&A expense for the full year was $7.2 million in the quarter of course, but I know you had some amortization expense coming off, I think in August. Any guidance you could give there would be helpful?
Mark Stauffer: We do have that coming off in August. If you think about that, that was about $6.8 million, $6.9 million that was amortized in over 18 month starting in March of ’08. So that will roll off in August if you kind of do the math there. So, if you sort of think about, where we’ve been, I think borrowing that, it should remain fairly in the range it is with that piece coming off in August.
Jack Kasprzak - BB&T Capital Markets: That implies that by the fourth quarter it will be a lower run rate than what we saw in the first or second quarter.
Mike Pearson: Yes it should be.
Jack Kasprzak - BB&T Capital Markets: Okay. Do you guys think that project opportunities or bidding opportunities were delayed or pushed out during the first quarter while the stimulus bill was being debated and proposed the logic being that, maybe agencies were on hold to see how much money was going to be allocated through the stimulus plan. Did you see or sense any impact like that?
Mike Pearson: Not significantly. I mean the bid activity was much higher in the first part of this year than it was in the first part of last year, but there were certainly a lot of projects that the Corpse head had to submit. I think they had a shopping list of about $13 billion of funded projects and they got approved 4.6, which tells me that they’ve got a number of projects that they want to continue to put forward in ’10 and ’11. It’s really hard to answer that question. I really couldn’t see it on bridging side, but certainly with the highway side, I think we’re running out of money. I mean, there were definitely some issues with the safety loop getting an injection that was badly needed, so I guess the DOT side slowdown significantly, not so much on Corps.
Jack Kasprzak - BB&T Capital Markets: Okay, you mention in your comments Mike, you had several or some projects that you think had been award, but hadn’t been awarded and so they’re not in the backlog. Can you guys quantify that credit during the first quarter?
Mike Pearson: Well, there is always jobs that are awarded, that we don’t announce and we have been awarded jobs since the end of the quarter. We just don’t announce them if they’re under 10 million, but there is not anything I would convey at this point. We’ll announce those projects as they’re awarded and we’re comfortable about meeting our second quarter bills in the year end. So we’ll announce those as they come.
Jack Kasprzak - BB&T Capital Markets: Okay, and longer term in terms of the big picture, you have lots of bidding opportunities coming out of the peers and as you commented earlier, visibilities maybe improving as more projects are coming through the stimulus programs. Have you guys stepped back and thought about how much revenue your company can handle if you’re fairly optimally utilized?
Mike Pearson: Well, I mean we can continue to add to our fleet and one of the questions Alex, the FBR was asking about uses of cash, we continue to look at equipment out there, that will enable us to incrementally grow our fleet with out existing base of operations and that could be a possible use of cash proceeds. So I feel like we’ll be able to organically to meet the demand. Labor’s been available, there have been quite an amount of people laid off in construction industries, not necessarily related to marine, that give us the ability to increase our work force if need be, but if you remember last quarter, we said that we could pretty well handle the revenue growth issue with our existing fleet.
Jack Kasprzak - BB&T Capital Markets: Yes, I was just thinking maybe a little longer term. What factors would limit you or not; it sounds like there aren’t too many factors that are that limiting in terms of continuing to pursue organic growth?
Mark Stauffer: I think that’s a fair comment. I think it comes down to people and equipment and I think that we have demonstrated that we have been able to add personal. Also with respect to the equipment side, I mean that’s kind of a day-in, day-out process we g o through, to match up what we think our fleet needs to be in terms of the opportunities that we see in front of us. We also want to be careful that we don’t get too far ahead of ourselves, because we don’t want to windup with ideal equipment, but I think as we go through each period as we’re kind of looking out in the future, we look at what capacity we have available within the existing fleet versus our capital expenditure program. It depends on the areas of the types of projects we seen and some assets might have longer lead times, other assets we can add to our fleet on a relatively quick basis, sometimes even through a trial basis if need be. So it’s all about getting the right mix of equipment for what we see and we do look at that as we’re looking out to the future beyond 2009.
Jack Kasprzak - BB&T Capital Markets: Great, okay and congrats on the next quarter
Mark Stauffer: Thanks.
Operator: We’ll take our question from Will Gabrielski with Broadpoint Amtech
Will Gabrielski - Broadpoint Amtech: Sure, thank you. A lot of my questions were actually asked and answered at this point, but I have a few left. Self performed work going forward, do you guys have any visibility on what we’re looking at in 2Q, similar to Q1 or any significant changes there.
Mark Stauffer: It’s kind of hard to say. That can fluctuate and I think for Q1 it was a little higher than normal. Normally we’ve run in the 85% to 90% self performance range by cost. I think it was a little above that obviously in Q1, but I wouldn’t want to comment further on that. I think it’s going to somewhat fluctuate depending on the mix of work that we have during the quarter.
Will Gabrielski - Broadpoint Amtech: Okay in terms of your hit rate in the quarter, was there any significant change there in general bidding activity and how successful you were?
Mike Pearson: Our win rate was in line with our historical rate of around 25%.
Will Gabrielski - Broadpoint Amtech: Okay, that’s helpful thanks, and then lastly, if you could just talk to the bigger picture on not just your own utilization and what you can grow your business to, but the industry as a whole. If you’re looking at 12 months or 24 months and from a pricing standpoint, what do think this industry can really handle from the core and some of the other funding initiative and eventually reauthorization of the transportation bill? Is that something that’s in conversion today and how would you describe kind of the markets, the process and everyone getting ready for this increased level of works, not only yourselves, but what your seeing in the industry.
Mike Pearson: I really don’t know if I could answer that for the industry, that’s a very difficult question. It’s one that the Corps themselves was challenged with in putting the stimulus package together. I think they have some concerns of could our industry respond to this volume of work. I can tell you, I think the general feeling of the contractors in the industry that have talked with the Corps have indicated that, if you’re buying the work, we’ll get it done and that’s certainly the case with our company. We’ve been able to grow every year; we’ve been able to add to our fleet; we’ve hired people to do the work and I don’t see any obstacles to growth.
Will Gabrielski - Broadpoint Amtech: Alright great, thank you very much.
Operator: (Operator Instructions) We’ll take our next question from David Yuschak with SMH Capital.
David Yuschak – SMH Capital: Hi, good morning gentlemen. I think in the quarter you had outstanding cash flow from operations. Is some of that reflected maybe just in that backlog burn that you had there. A lot more shorter duration projects that cashed out in the quarter, plus maybe whatever residual you have left over in the fourth quarter as far as receivables that have pushed that kind of cash, because it was impressive given the first quarter results.
Mike Pearson: Well, I think we did have a fair volume of smaller, quicker turn projects and what not during the quarter. I don’t think it was necessarily any different than unusual. I think we did have some good collections during the quarter with respect to receivables and I think that that’s kind of reflected in the growth in cash.
David Yuschak – SMH Capital: Now, as far as your thoughts on rest the rest of the years concern as far as cash generation, got any thoughts as to how that might play out as far as using cash versus cashing out as the year goes on, as far as some trends. Could you give us a sense of that?
Mike Pearson: Well I guess, it somewhat depends on the timing and mix of project, in terms of the working capital needs. Again, it’s going to depend on the size of mix and timing of projects. As we get projects up and running, we can’t have fluctuations in cash. I think beyond that, again we’ll look to execute our growth strategy with respect to capital expenditures and also remain opportunistic with respect to either any asset acquisition opportunities or otherwise of any side.
David Yuschak – SMH Capital: Do you think as you go through the rest of the year, given the potential for new business opportunities? Is the duration of that backlog, potentially could begin to sneak up on you, as we see some of these projects coming on and we have bid activity, so that maybe you’re looking at more elephant related projects versus some of the shorter duration projects. I’m trying to get a sense as to how you see that potential affecting business as you go through the rest of the year?
Mike Pearson: Yes, we’re certainly pursuing margin projects. We’d like to get projects around $25 million, $30 million size as a good anchor to build on and they are out there. We intend to pursue, but yes, I would say David, at any one time we’re looking at what are the best opportunities we see in front of us to help achieve our goals, but I would say though that as we’ve grown over the last couple of years, we are able to look and has our bond progress has grown, we are able to look at larger and larger projects. I think the carryout there is that we still look at the duration of those projects and that, even on our larger projects really does not get out of sort of our risk comfort zone in terms of duration, but I think its fair to say that we have some large projects we’re looking at today in our tracking system and we intend to go after some of those, but again we expect to have a good mix of larger project work and the smaller work as well. We’re not going to give up on that market if we take on larger work?
Mark Stauffer: I might to add to that, that we may be proud to say in the last couple of years, teaming up with other contractors to be able to pursue bigger contracts, but in the past we hadn’t been able to bid on all and that’s worked very successfully force and BellAir is a good example of that. Some of the projects that we are currently pursing, particularly on the bridge building side, we are teaming up and we’ve done that on smaller scale projects as well, where it makes sense that you can have a competitive advantage, so.
David Yuschak – SMH Capital: I would think that the potential pipeline out there though, just looks like better for bigger projects as you go through the rest of the year, is that fair to say?
Mark Stauffer: There are some good opportunities out there and we certainly want to be a player and what I’m going to do, I’ll have to take a $50 billion job. We’re not in that kind of lead, but certainly we’ve been bidding projects anywhere from $50 million to $100 million, for work.
David Yuschak – SMH Capital: So, you’re comfort zone, maybe at the top end right now, about $100 million.
Mark Stauffer: We’ve built projects greater than $100 million, but the duration as such is like two or three years and (Inaudible) I think they’re comfortable with our performance and our track record to-date. We’re having a very successful JV on some of the bridge work that we’ve been doing. So yes, I’m not really concerned about the size of the project, as long as it fits our risk matrix for taking on projects. We’re not going to take on a big job just to run revenues up, at the expense of deteriorating our profit. We are very careful about how we approach jobs and we want to make sure that what we book is going to be profitable?
Mike Pearson: I think there’s quite a good correlation between risk management and profitability.
Mark Stauffer: Absolutely
David Yuschak – SMH Capital: As far as you look at the potential business, it looks like a 16 to 18 probably on the CapEx that would probably be pretty well set right now, unless you would end up having maybe some longer duration projects, is that fair to say. Then maybe you’ll make that kind of decision, by how much may ramp up spending for CapEx for 2010 to get paid later in the year.
Mike Pearson: Yes, as we’ve kind of talked about that, that will adjust and sometimes as we take on work in the next several months and look at some of these projects, even just to the last to answer, I mean dependant on some of these projects size we get, may warrant us to look at that CapEx number. Then also as we start moving through the next couple of quarters and look at 2010, we may want to position ourselves for those opportunities in 2010 and spend CapEx dollars, setting ourselves upto that in the back half of this year.
David Yuschak – SMH Capital: And then one last question, you did kind of allude to it a little bit earlier in the discussion guys, is on the workforce. At this point, what has been your implemented growth in this first quarter versus year end and how do you see that maybe potentially playing out here as far as growth in employees?
Mike Pearson: Right now, we’re still at about 1,100 employees and we’re going to continue to be around that level through most of the year.
David Yuschak – SMH Capital: Okay. So tell me, you’re in pretty good shape as far as your workforce then, given the kind of potential you see there?
Mike Pearson: We think so yes, but to the extent that we see the need to increase that as projects demand, we think we will be able to get along. I think Mark mentioned earlier, some of the things going on in some of the other industries and we’ve been able to attract and retain people to support our growth and we’ve added sort of a day-in, day-out challenge that’s never going to go away, but we think our track record demonstrates that we’ve met the challenge and so we’re not concerned about that going forward.
David Yuschak – SMH Capital: As far as the capital I guess required, on the cap spending between maintenance and new growth, what does that look like, out of that 16 to 18?
Mike Pearson: It’s fair to say that it’s probably inline with historical at about 15 maintenance and 15 new growth.
David Yuschak – SMH Capital: Okay. That’s all I got, thanks.
Mike Pearson: Okay.
Operator: And at this time, we have no further questions in our queue. I’d like to turn the conference back over to Chris DeAlmeida for any closing remarks or additional remarks.
Chris DeAlmeida: Alright, well thank you and on behalf of Mike and Mark, we’d like to thank you for taking the time to talk about it this morning and we look forward to speaking with you in the future. Also if you have any follow-up questions, please feel free to give me a call. Thanks and have a good day.
Operator: That does conclude today’s conference. Thank you for your participation.